Operator: Thank you for standing by and welcome to the ReNew’s Third Quarter Fiscal Year 2023 Earnings Conference Call. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to Nathan Judge of Investor Relations. Please go ahead.
Nathan Judge: Thank you Jason and good morning, everyone, and thank you very much for joining us. This morning the company issued a press release announcing results for its fiscal third quarter 2023, ended December 31, 2022. A copy of the press release and the presentation are available on the Investor Relations section of ReNew's website at www.renew.com. With me today are Sumant Sinha, Founder, Chairman and CEO and Kedar Upadhye, the CFO. After the prepared remarks we will open the call for questions.  Please note, our Safe Harbor Statements are contained within our press release, presentation materials, and available on our website. These statements are important and integral to all our remarks. There are risks and uncertainties that could cause our results to differ materially from those expressed or implied by such forward-looking statements. So we encourage you to review the press release we furnished in our Form 6-K and presentation on our website for a more complete description. Also contained in our press release, presentation materials, and annual report are certain non-IFRS measures that we reconciled to the most comparable IFRS measures, and these reconciliations are also available on our website in the press release, presentation materials, and annual report. It is now my pleasure to hand it over to Sumant.
Sumant Sinha: Yes, thank you Nathan and a good morning, good afternoon, or good evening to everybody listening in on the call. Welcome to the call. Let me start off by saying that the Indian renewable energy market remains incredibly robust and we see plenty of high return investment opportunities in the horizon, where we do believe we have a competitive advantage, specifically in the complex projects and corporate PPA segments. We have developed a platform that is differentiated not only in India but even when compared to peers globally. We have operational expertise across renewable energy, technologies with leading proprietary digital capabilities that creates optimal and customized product for our customers.  We believe that the world is shifting, customers are increasingly recognizing the climate change imperative as an existential risk and are moving rapidly to decarbonize. We are one of the few companies globally that can deliver that decarbonization solutions for our customers that most of the companies are not really focusing on as much. As these solutions require technological leadership, complexity, and customization we believe that we will be the decarbonization leader and will be even better positioned to capitalize on these opportunities more than ever before.  From our perspective as we look at it today, we believe that our EBITDA will grow at least 50% over the current base as we execute on our entire portfolio in the coming two years. We expect to layer further growth on top of this with a particularly interesting round of upcoming auctions over the next year, given the complexity. In addition to this is the evolution of opportunities and digitalization and green hydrogen that provide our investors incredible upside options that many countries are not focusing on as much at this point.  We believe that the value of our shares do not reflect one of the best growth rates in the renewable energy industry combined with equity returns that are among the highest in the world, so much so that we have already brought about $60 million of our own stock which represents over 15% of the fees load [ph] in only the last 10 months or so. We have another $90 million of authorization or another 20% of fees load approximately and we have every intention to use that authorization aggressively given where the current share price is. We believe the value of the company has been highlighted with over 500 million of asset sales over the past 18 months at valuation multiples that are consistently higher than new build multiples. Starting on Page 4, to discuss highlights this quarter. We continue to report strong growth and for the first nine months of this fiscal year 2023, revenues from contracts with customers grew 24% year-on-year. Adjusted EBITDA was 18% higher and cash flow to equity increased 11% from the same period in the prior year. We have commissioned capacities of 7.7 gigawatts operating and the total capacity under construction currently is 5.4 gigawatts and another 337 megawatts is in the process of being acquired, which brings our total portfolio size to 13.4 gigawatts. So far this fiscal year our core operations, what we can control, are tracking within a smidge of our internal budget provided at the beginning of the fiscal year. With only about six weeks left in this fiscal year, we expect that we will end the year around INR 61 billion to INR 63 billion. The revision in guidance is essentially for reasons beyond our control. This includes delayed completion of the acquisition that we had announced earlier this fiscal year and which is still under process. Based on where we are in the process, we now expect the acquisition to close early next year. We had expected that this acquisition would add about INR 3 billion or so this year in our original guidance, which looks to be realized in FY 2024 and beyond.  Even though the acquisition has not contributed to EBITDA this year, it is contributing to our balance sheet. The lockbox date was set at the beginning of this fiscal year, and we retain the economic value and cash generation, which accrues to our balance sheet. Also, carbon credit sales of around INR 1 billion that we expected to be realized this fiscal year are now likely to slip into early next fiscal year, given the backlog of projects that are in the process for registration at various carbon exchanges. Also, weather continues to be a bit of a headwind and whilst we capture the majority of the negative hit this year in our guidance at the beginning of the year, the weather along with a variety of other items, look to end up another INR 1 billion or so worth in our beginning of the year assumptions. We are focused on the long run and still believe that ReNew will be delivering adjusted EBITDA of INR 89 billion to INR 94 billion over the next several years or about 50% higher than this year. Virtually all of this growth is contracted and highly visible. As we have reiterated many times, we are focused on creating value and one of the key determinants of creating value is maximizing returns not only through disciplined bidding and product offerings, but also through execution. In this way, SECI began granting extended construction time line which may present us an opportunity to enhance the returns on these projects under development. Module prices are also down 20% or so in the last couple of months, which allows us to streamline construction schedules for our 5.4 gigawatts under development and potentially bring in plants earlier to capture market sales, which could materially improve the returns on our pipeline. We are planning to update the market in the next couple of months but broadly, we do expect that the adjustments will be moderate, and all the projects in our pipeline will be executed as they are all expected to earn return above our threshold minimums. We are making good progress on our accounts receivables and are seeing regular payments from the stake -- from the state distribution companies that has the highest amount of over dues. Also during the quarter, we added another 300 megawatts of corporate PPAs, bringing that portfolio to 1.8 gigawatts or about 13% of our total portfolio. Separately, we also received some strong ESG ratings from Refinitiv, Sustainalytics, and Carbon Disclosure Project. Refinitiv recently updated their ESG rating on ReNew and we are now ranked as the second highest of any electric utility or IPP globally. Sustainalytics ranked us as a top ESG-rated company. We also received the highest rating by the Carbon Disclosure Project among all Indian renewable companies. On to signing of new PPAs on Page 5, as I said we have signed another 300 megawatts of PPAs this quarter, and we have also de-risked our growth as only 1% of our 13.4 gigawatt portfolio as pending PPAs. The corporate PPA portfolio has nearly tripled from the same time last year and as I said, it's now 1.8 gigawatts with a growing backlog. We estimate that we have the largest market share by a significant measure in this market, which show that differentiated advantage in this business segment. Corporate PPAs offer higher returns than plain renewable energy projects, given higher barriers to entry, our ability to partner with corporate customers and provide them energy solutions sooner than our competitors. We continue to believe that ReNew will have a 4 to 5 gigawatt corporate PPA portfolio by 2025. The volume of auctions for complex projects, such as round the clock and peak power continues to be robust. At the moment, there is about 12 gigawatts of auctions for these complex projects under process and given our differentiated platform that provides us cost and revenue advantages, we remain bullish that we will be able to capitalize on these at returns that are above our minimum return thresholds. With regard to CAPEX, the prices of materials, modules which go into our CAPEX has moved in our favor since our last earnings call last November, and this is discussed on Page 6. On this front, we have seen around a 20% reduction in prices for modules compared to levels in November. Falling prices for wafer and cell prices are likely to also make the delivered prices from our captive manufacturing even more competitive. From where we stand today, we are even more confident about delivering returns within our targeted 16% to 20% equity IRR range at the project level. We believe there is further opportunity to improve returns through capital recycling, further implementation of proprietary digitalization, and continued pursuit of operational excellence. As a reminder, we have locked in wind turbine prices so there is essentially no material exposure on this front. If in the event that any additional new project has an expected IRR below our minimum thresholds, as you know, we will not proceed. We will remain disciplined with your capital. With that, I would like to turn it over to Kedar to go over the latest quarter’s financials.
Kedar Upadhye: Thank you, Sumant. I'll now move to Slide 8, which provides the highlights of the fiscal third quarter of 2023. We added 66 megawatts this quarter to bringing the total 7.8 gigawatts operating. We signed another 282 megawatts of PPAs, which brings the total amount under construction to 5.4 gigawatts. Our revenues from customers rose 24% year-on-year in the first nine months of fiscal 2023. EBITDA increased 18% in the nine months of fiscal 2023 when compared to the same period in the prior year, and our cash flow to equity increased 11%. While solar generation was better than last year, the wind PLF was about 200 basis points lower than the prior year, which was in keeping with the lower production from wind sites recorded across all of India. Turning to Page 9, which provides a reconciliation of adjusted EBITDA in Q3, which stands at INR 11.628 million. The wind resource continues to be below normal albeit above the lows witnessed several years ago and carbon trade sales were below last year, although we expect this will come in the next fiscal. EBITDA through the nine months ended about 98% of our internal budget and for our core operations excluding the impact of weather [indiscernible] and the timing impact of carbon related sales, the full year looks like it will end up around the same.  With regards to our cash flow generation on a nine months basis, our cash flow to equity was 11% higher than the prior year, although CAP this quarter was impacted by the timing of interest payments after refinancing the green bond, that paid the interest biannually with domestic debt which pays the interest monthly. Also worth noting is the strong cash generation from our cash flow statement. Cash flow from operations for the third quarter of FY 2023, nearly doubled to $261 million for the same period in the prior year as one of the largest positive contributors was a $122 million reduction in our receivables from the second fiscal of 2023. Turning on to Page 10, as we have highlighted many times over the past year, we have been focused on improving collections on the past due receivables from the state distribution companies, and we are pleased to announce that we have made a sizable progress. The Q3 DSO improved by over two and half months compared to the end of Q3 in the prior fiscal, and that contributed about $122 [ph] million to our cash position as the discounts that have been laid on payments have now been making up payments. As a reminder, the AP DISCOM, which represented about 42% of our current past due receivables in March 31, agreed in June to pay past dues over the next 12 months in equal monthly installments, and has made about six to seven payments out of 12 so far. The other states that were late have also been making payments on past dues. At this point, we are expecting to end the fiscal with further improvement in the DSOs, which would represent a release of cash from working capital of approximately INR 6 billion or more from the prior year. We continue to expect further improvement in our DSOs over time as an increasing percentage of our sales will be to the central government owned SECI, which pays its bills promptly and on time. Today, with 7.8 gigawatts operating about 50% of our assets are with the five DISCOMs that have high DSOs as almost all of our committed projects are with SECI or with corporate customers who pay on time. The exposure to these five DISCOMs will fall to about 32% by the time we complete the exhibition of the portfolio. This customer mix shift would represent an improvement of 55 days in our overall DSO just by itself. With that, I will turn it back to Sumant for a comment on our ESG and guidance.
Sumant Sinha: Yeah, thank you, Kedar. I'm taking up ESG on behalf of our Sustainability Head, Vaishali. Turning to Page 12, continuing our momentum from last year, we are committed to setting new benchmarks in all fronts of ESG performance and transparency. Our latest ESG rating scores are testimonials to our endeavor on this front. As a validation of our ESG commitment and performance, we recently received a score of 81/100 from Refinitiv, a global provider of financial market data. This score positions ReNew as number one in India in the electric utilities and IPP category and as I said earlier, number two globally in the same category. Furthermore, ReNew has been recently included in the top-rated ESG companies list released by Morningstar Sustainalytics for the year 2022, 2023. We believe this is a validation of ReNew's ability to identify and manage ESG risk that can impact our operations. CDP has rated ReNew as B for climate change, which is the best rating among the renewable energy companies in India and higher than the Asia average, which is a C. A B rating from CDP for ReNew reflects that the company is taking coordinated actions for climate change mitigations. To drive collaborative impact towards a fossil-free future, we continue to work with our employees, communities, and partners. Towards this end, ReNew has undertaken the following initiatives. We have pledged to plant 1 million trees by 2030 under World Economy Forum's 1 trillion trees initiative. Our corporate office in Gurugram in India has been recognized as one of the best existing green buildings by GRIHA, which stands for green rating for integrated habitat assessment, India's green building rating agency equivalent to the U.S. GBC, United States Green Building Council. Our annual program called Gift Want has benefited 275,000 people across 11 states in India this year. One of our other initiatives, Project Surya, focusing on job training and entrepreneurship development of women's salt pan workers, was showcased in COP 27 in the India Pavilion and the G20 Power Inception event. Turning to Slide 13, we continue our efforts to achieve our ESG targets with specific initiatives. Earlier last year, we submitted our science-based GAG reduction targets, which have now reached a validation stage by SBTI. Working towards our target to achieve water neutrality by 2030, a feasibility study is currently underway, near our site to identify community-based initiatives to offset our water footprint from our operations. We also, I should say, have achieved a 12% women representation in our workforce by the end of Q3, and we are working on increasing it substantially to 30% in the next two years. We would be disclosing progress across our targets in our forthcoming sustainability reports. I invite you all to engage with our sustainability report 2021-2022, which was released in October 2022. Moving on, with regard to our guidance, this is now beyond the sustainability section. With regard to our guidance outlined on Slide 16, we are shifting our FY 2023 adjusted EBITDA guidance, as I said earlier, to a range of INR 61 billion to INR 63 billion, which reflects the absence of the expected EBITDA contribution from our acquisition and the process; the deployment of carbon credit sales; and some impact of weather, which is deferring some of our EBITDA. Again, we are not revising our portfolio run rate EBITDA, which is about 50% above expected levels this fiscal year and which is essentially fully contracted and should be reached over the next couple of years. On the buyback front, as I said, we have repurchased about 25 million shares since we implemented the program, which still leaves us about $90 million of authorization remaining. $90 million represents approximately 20% of the currency float at today's share price. We continue to see considerable value in our shares. As we have evidenced by numerous asset sales over the past year, RNW trades at a meaningful discount to what we can sell assets for. As our shares are one of the highest return investments of scale that we can make, we have been actively buying back stock when we believe that it would provide the highest return opportunity for our shareholders. With that, we will be happy to take any questions. Nathan, back to you.
Operator: [Operator Instructions]. The first question comes from Julien Dumoulin-Smith from Bank of America. Please go ahead. 
Morgan Reid: Hi, thanks for taking the question. This is actually Morgan Reed on for Julien. Can you first talk about the execution on the corporate PPAs this quarter, it seems like this is clearly an increasingly relevant portion of the pipeline, we'll be interested to understand what proportion of the portfolio you think this can kind of become in the next year, I think kind of trying to understand where you are focusing your growth, clearly, you've talked about this opportunity quite a lot?
Sumant Sinha: Yes. In terms of -- we signed a lot of our corporate PPAs in the last six to nine months and less than that. So a lot of these projects have been under execution. But I think the important thing to note is that we signed most of this 1.8 gigawatts in the last 12 months and that gives you a sense that the momentum in that part of the market is pretty good and it's picking up. We have also stated earlier that we expect almost about 25% of our future PPAs to come from the corporate market. We have a pretty healthy backlog at this point in time and so I suspect that, that is something that we should be able to achieve in the near term.
Morgan Reid: Got it, thank you. And then can you also kind of elaborate on the value that you're associating with the decline in module prices, it seems like maybe there's some accelerated development opportunities and certainly some decrease in CAPEX. Can you just talk about how we should think about that as we're looking at the current development opportunities?
Sumant Sinha: Yes, Kedar, do you want to take that?
Kedar Upadhye: Yes. So I think we spoke about the 20% decline in the module prices from November until now and the new POs that we are placing are at a level which makes us pretty comfortable. If we wait for some more time, there might be a little bit of a further decline as well, although some of these things are not fully predictable. And yes, I think this allows us to manage the CAPEX well, this allows us to get the IRRs back in shape because the prices, especially during June to November period, were quite elevated as we know. So we are -- we continue to track and we continue to stagger the orders and deliveries in a manner in which we stay very close to our target range of the IRRs.
Morgan Reid: Great, thank you. I will get off. Bye.
Operator: Our next question comes from Nikhil Nigania from Bernstein. Please go ahead. 
Nikhil Nigania: Hi, thank you for taking the question. On the acquisition front, the quantum of 528 megawatts last time we see is lower this time, any reason for that? And also on time lines on completion of that acquisition, if you could give some guidance?
Kedar Upadhye: Yes. So Nikhil, this acquisition was another slumps in route, which means you have to change the titles to the underlying assets, you have to transfer the PPA, you have to transfer the lease, you have to transfer the title of all other assets. And that's a little -- relatively a little more time involving process compared to a pure share purchase agreement. And this has given us a lot of learning but as we said, the lockbox date is already agreed from beginning of this year. So the cash flow for those PPAs will get to a balance sheet as a reduction from the CAPEX. What this has also done is this has allowed us to reflect in terms of the quality of the assets that we are pursuing. And in the next few months, we will make judgment as to what's the right proportion of these assets that we should be finally acquiring. And maybe we'll end up with slightly higher than the half of what we were targeting earlier. But as I said, please take all these as tentative guidance at this point of time, we will be announcing probably by the full year when we have a clearer picture of the total PPAs that we will take over. And maybe by back month, maybe from the time we will approach you for the full year results, we'll have a much better idea on both the number and the size of the assets that we will take over and the time line for full integration.
Sumant Sinha: If I just add to that. Yes. Sorry. I was just saying that, look, as you know, most trends, most M&A transactions are as Kedar was saying, shares transferred. This one was a slight sale because of the specific situation involved here, and that process has just taken a bit longer than anticipated and expected because of the transfer of so many different things. But I think it's something that we're now fairly close to completing, and it is something that should be finished by early next year. And that will then also allow us to get back to you on exactly what percentage you're going to acquire. But there were one or two assets within that, that we said might be something that we don't really want to go ahead with or are harbored to close because of all these regulatory issues. And that's why we have decided to sort of decrease the amount that we were acquiring a little bit.
Nikhil Nigania: Appreciate that answer. The second question was regarding the asset sale use, which is going around about 1.1 gigawatt to potential entities like [indiscernible] any views if possible to share on that, the rationale and the conductor?
Sumant Sinha: Kedar, let me just a take a stab at taking that. So capital recycling as a strategy is something that we've talked about quite a bit in the past. And I think most global renewable energy companies follow the same strategy, and we are doing the same. I think the idea really is that we can build more than we can necessarily hold or want to hold. And so therefore, building more than allows us to capitalize on value creation or create value in those assets that we're building and then sell them at higher multiples. So I think that's an energy sensible strategy for us to pursue. And so Nikhil, you've seen in the future, certainly us looking at selling more assets, which is not to say that our portfolio will not grow. It will grow as well. And look, you can't -- there's a lot of news in the Indian side that you are aware. And so we just have to wait for something specific to be announced by us before -- until that point, we really can't comment, as you well know.
Nikhil Nigania: Great, thanks Sumant for the answer. Sorry, two more questions quickly then. One is where you think around that ALM restrictions might get relaxed in the near term? If that happens, does it help deepen time lines for any projects? And related to that, on the RTC project, which is a big one, last time, the guidance was for Q2 FY 2024, does that change as it stands today or if that mix has changed?
Sumant Sinha: Yes. So look, as far as the element is concerned, as you know, we sit on both sides of that equation. We are both a developer and we're also looking at getting into manufacturing. So we are fairly neutral to the -- to whichever way it pans out. But will it allow us to commission projects earlier, not necessarily. And first of all, it hasn't actually come out as a specific policy yet. So we have to wait and see exactly what happens. So I can't say that it will allow us to commission earlier because we'll obviously have to see where we can buy the modules from, what are the delivering time lines and so on. But to the extent that we can commission some of our projects earlier, certainly, we would like to do that because, as I was saying in my remarks as well, if you're able to commission projects earlier, you are able to sell some of that power into the merchant market. And I think one of the things that is emerging is like clearly it appears is that prices in that market are going to be relatively robust. So that opportunity potentially can open up. But we haven't studied this specifically. So I can't give you any sort of clear cut answer on that. Your second question on RTC, Q2 commissioning. Look, the RTC project, as you know, is comprised of five different or four different projects, three wind and one solar and then, of course, there's a battery component as well. These targets should be commissioned progressively over the course of literally starting pretty much now onwards till the end of, I would say, Q2, Q3. So I think that's what's going to happen. The whole project -- and so whenever the project is commissioned, revenues can start, whichever part of the process they have commissioned. The whole project for us to then sort of go to SECI and say the whole project is commissioned might take till Q2 or Q3 of this coming financial year, FY 2024. So we are largely on track on the solid execution standpoint.
Nikhil Nigania: Perfect, makes sense. Just coming back with one last question, a small one. I continue to find the answer now. This is just on the balance sheet, on other noncurrent assets, there's a jump of, I think, about INR 1,000 crores or $120 million. Possible to give what is the reason for that?
Kedar Upadhye: Yes, Nikhil, a couple of items which has gone up as you know, we have made an acquisition in a digital entity. And we are only a 40% stake in that entity. So part of that gets recorded in other assets. We have also made some advances to company creditors as part of the RTC and various projects. So I think some of these things get sort of reflected in the other assets category.
Nikhil Nigania: Perfect, thank you so much Kedar. Thank you Sumant. That’s it for me. 
Operator: Your next question comes from Justin Clare from ROTH MKM. Please go ahead. 
Justin Clare: Yeah, thanks for taking our questions. So I guess, first off, you had indicated that you expect further improvement in DSOs by the end of this year and then into fiscal 2024. I was wondering if you could just give us a sense for how much more improvement might be possible? And then just more generally, could you talk about whether you expect this improvement in DSOs to be maintained, so at this point, has there been a lasting structural change in the market where there's going to be particularly lower risk of DSOs getting extended in the future?
Kedar Upadhye: Yeah, we believe so. I think you must have heard about several pronouncements from the regulators and which is helping us. See, two things are happening. One is the old deals are getting cleared and the current deals are getting strongly paid on time. And both these are helping us to get a reduction quarter-by-quarter in the DSOs. And second factor which we mentioned is the mix of off-takers is changing in favor of those who are paying much earlier. So the proportion of corporate off-takers, the proportion of central authorities like SECI, that is going up. And the proportion of DISCOMs is going down from 55 to 32. So both the LPS deal specifically and the change in mix of the off-takers is helping us. And we believe this is structural, and this will continue for some time. And compared to the December DSO, we do expect about 15 to 20 days further reduction as of March and similarly going forward as well.
Justin Clare: Got it. Okay, thank you. And then it looks like the ALMM was recently relaxed for a period of two years. Then we've also seen a decline in module cell and wafer pricing. So just given the changes that have happened here, can you talk through your module sourcing strategy, has there been any change, I think as of now, you're planning to self-supply with about 60% of your projects from your own manufacturing, has that changed at all or are you thinking there, just any update would be helpful?
Sumant Sinha: Yes. So look, at this point in time, we -- first of all, the ALMM has been an announcement by the minister as sort of -- but it's not really come out as official government policy yet. So we have to wait for that to happen and to see if it happens. So I think that's number one. Number two is that we haven't yet been able to make an assessment of how this change might impact us. Keep in mind that the customs duty of 40% on modules and 25% on sales is still there. That is not changing, which essentially means that imports from China, for example, are still not going to possible. From one or two other geographies like Southeast Asia, it might be. But it's a question of finding out how much availability there is in those markets given that a lot of the modules from there are being shipped to the U.S. and to Europe. So we'll have to make that assessment, which we have not been able to do yet because this is obviously still not an official policy on the part of the government. And as far as our own supplier is concerned, look our module plants will be up and running in the next few months. And once it's stabilized, then of course, we expect that to supply to us and for most of our supplies to come from there. But again, some of our projects are in fact grandfather [ph] because we have won them before this duty and the element got announced. And so therefore, for those projects, we are able to import modules from China or anywhere else for that matter. And so I think it will depend on really at what point does the plant get stabilized, what are the specific rules at that point in time and on basis of that we will take the most optimal decision. I think behind all of this you have to keep in mind that the good news is that module prices and sell prices also have come down dramatically. And therefore, whichever way we look at it, I think our module costs are going to be lower than we had potentially sort of anticipated, and that's going to be good for us. Now I can't give an exact sense of how much will it come from our own supply versus how much will be imported and from which geographies because that's still a little bit uncertain at this point in time, given the uncertainty a little bit around government policy and on supply sources.
Justin Clare: Okay, appreciate it. Thank you. 
Operator: [Operator Instructions]. Our next question comes from Amit Bhinde from Morgan Stanley. Please go ahead. 
Amit Bhinde: Hello Sumant. I had two questions, one with the wind PLF situation right now and be thinking of reassessment, how are we looking at the near-term forecast and any update on the reassessment that you are planning?
Sumant Sinha: Yes. Those are both good questions. So look, as you know, in the guidance that we've given for the current financial year, we had already assumed a lower sort of wind speed or lower wind forecast for this year. And that is something that is almost being met as far as the wind speed of this year is concerned, although, of course, it is significantly below what you might consider to be the long-term mean. The chances are that we carry on with the same kind of -- the same level of forecast into next year as well. We are unlikely to sort of change that substantially from the current level because I think it's still -- it's sensible to be prudent. We've had, as you know, now three not good years of wind in a row, and that's a fairly rare event, but it is not that it is unknown to happen. It has happened in the past in other geographies as well. Typically, when, that kind of thing happens, then there is at some point it bounce back, but it's hard to say when that might happen and how much that might be. So I think we will, therefore, from a prudency standpoint, just carry on with the very conservative guidance that we deal that we gave this year into next year as well. As far as the long-term proper assessment is concerned, that is something that we're working on right now. We are discussing with a number of the wind forecasting agencies. And I think the good news in some of the early conversations we've had with them is that the technologies, the methodologies, and the science that we use to forecast long-term wind in India is no different from what they use anywhere else in the world. And so therefore, I would feel that, as we go deeper into this work, that we should be able to get a good sort of view on a lot of these issues. And we should be able to come back to all of you, I think, very soon on this matter. But I think the other thing I should also say is that because of the experience of wind in the last two to three years, we've already become very conservative in our forecast for wind in the future as well, not just for our existing assets but also the assets that we're going to build in the future. So a lot of that conservativism we're already building into our future forecast. So I think that you won't really see any big data from the current year into next year and so on simply because, as I said, we've already reduced our forecast quite substantially. And for our future projects, we are also being already quite careful about the forecast that we're now doing. So I would not anticipate any further reductions from this level in terms of our guidance. But as I said, we will just cross-check and re-collaborate all of this with the wind agencies and get back to all of you with more specific and firm sort of views from them from these forecasting agencies by the next time that we interact with you all, hopefully, in the next few months' time.
Amit Bhinde: Just anecdotally on this one now, the government is planning an 8-gigawatt auction on wind. So first thing that they also have this criteria that it should not be concentrated in some states. So it would be diversified across states where the wind variability could be more. So how do you see approximate tariff impact when you look at two aspects; one, wind PLS already -- speed is already impacted and other you would have to diversify into a different state where the wind speed may not be very optimal for the auction, so how do you see that?
Sumant Sinha: I don't think -- yes. So look, I don't think that will have any impact, frankly, simply because we are, for example, as a company already operating in most of these states, and so we have already good experience in terms of wind forecasting in all of those states. And look, eventually, even if the wind quality is lesser in one state compared to another, that gets reflected in the tariff that people bid because the tariffs end up being higher in the states that have normal wind speed. What the government intends to do is to bundle all the wind bids, all the wind projects together from across various states and offer a single pool tariff to the end buyers of the power. So it actually doesn't matter at which state you put up the capacity in.
Amit Bhinde: Okay, perfect. And another question that I had was on this domestic manufacturing of modules. Now that the module prices sell and module prices are declining, if we look at the financial aspect of it, how much would be the differential, like how much would be the output -- price of the output from our own manufacturing versus, say, imports plus custom duty, for example, like say, around $0.20, $0.25 for imported module with the custom duty and maybe, I mean, whatever is the price for the domestic one, how much would be the differential between the two?
Sumant Sinha: Yes, so I can't give you an exact answer at this point, nor do I want to be very specific on this issue right now. I think the only thing is, as you know, that import duties are 40% and -- on modules and 25% on sales. And any modules that we make in India ourselves that we make in India are going to be significantly less than the protection of the duty -- that the duty provides. So I think that ultimately the comparison really, in some ways, is not through imports because those will always be more expensive with the duties. But in some ways, the comparable ratio really be with what is being manufactured in India otherwise by other companies. And I think in that respect, we will be very, very competitive simply because of our scale and also because of the fact that we have much more modern plants with the latest technology.
Amit Bhinde: Alright. That ballpark, it would be around $0.25 or something, the domestic manufacturing output, I know I mean, as you said…?
Sumant Sinha: No, I hate to generalize because it really depends on, for example, the input cost of either cells or wafers depending on what you're buying. And that price is moving around a little bit. So therefore, it's hard to give us a fixed number on that at this point.
Amit Bhinde: Alright, got that. Those are my questions, thank you. 
Operator: Our next question comes from Puneet Gulati from HSBC. Please go ahead. 
Puneet Gulati: Hi, thank you so much and best wishes. My first question is, you haven't been very, very actively participating in the utility scale auctions. Is there a differentiated strategy that you are allowed to adopt focusing more on corporate than on utility scale?
Sumant Sinha: So Puneet, as you know, there haven't been that many auctions. A lot of the auctions that have happened have either been state level bids or bids where first -- which have been [indiscernible] wind or solar. Those ones, as we have stated in the past, we don't intend to participate in because we don't really want to take a lot of direct state exposure or we don't want to participate in -- auctions, very frankly speaking, because we feel that our competitive edge lies in the more complex auctions. So I think we are focusing on the more complex bids. And as we have stated, we expect a lot of those to come down. And so therefore, there will be enough for us to bid for. Also, the corporate PPA market, as we've mentioned many times, is very active. And so between the RTC/grid power bids, on the one hand, and the corporate PPA market, frankly, we have our hands full, and that is why we are choosing not to participate in the preliminary [ph] auction or the state level actions.
Puneet Gulati: Understood. And did I hear it right, you said that you will not be revising estimates on account of weather, and your EBITDA guidance is already prudently capturing that?
Sumant Sinha: That is right Puneet. Yes, that's what we've said.
Puneet Gulati: Okay. Understood. And then last one, when I look at your CAPEX guidance this quarter versus last, the manufacturing link had been slightly slower in FY 2023 and now more move towards FY 2024. Why would that be the case, and then what are the time lines for completion now for your module and cell manufacturing capacities?
Sumant Sinha: Yes. So look, our module plant is running about a couple of months behind schedule. It was supposed to be commissioned by end of Q1. It will probably just spill over into early Q2 -- early Q1 of next financial year. So there's not a significant delay there, frankly. The seven module plants are pretty much running as they were supposed to run in Dholera, where we're putting them up. So there should not be a significant difference in CAPEX, actually, there may just be some payment or phasing issue more than anything else.
Puneet Gulati: Alright, yes. And on the carbon credits, can you explain what really happened there, you've reduced your guidance on account of carbon credits as well, is that permanent rate or is it more short term and what part of your EBITDA at portfolio level guidance is attributable to carbon credits?
Sumant Sinha: Kedar, do you want to take that.
Kedar Upadhye: Yes, yes. So Puneet, these are basically RE credits now. Going forward, we hope to have more voluntary credits, nature-based solutions and things like that. But as of now, these RE credits. What we understand is the global agencies, which sort of registered the projects as eligible for carbon credit, there is a lot of backlog. So actually, some of this is beyond our control. Just a timing deferral from quarter four of this year to probably first half of next year. And the amount is roughly a little less than INR 1 billion. But as I said, primarily current composition of our credits is RE in nature. And going forward, the idea is to get to a little more higher proportion of the volume breakages.
Puneet Gulati: And at the portfolio level EBITDA, what sort of contribution have you assumed, in your 92 billion to 94 billion EBITDA?
Kedar Upadhye: Yes, yes. So it won't be -- it would be in mid to high single digits, not more than that.
Puneet Gulati: Mid to high single-digits, okay.
Sumant Sinha: In fact Puneet, in general, that carbon credits on our existing portfolio is in some ways, really sort of winding down because of the way security protocol has been phased out. And so really there isn't a lot of carbon credits that we are assuming will be available in the future. There are some markets that are developing where those carbon credits may still have some value like in the Middle East and so on, but we don't know how those markets are going to develop over time. So at this point, we've been very conservative on making any assumption about any revenues coming in from carbon credit in the future from the renewable energy part. As Kedar said, there's a whole separate stream of work that we are doing right now on developing carbon credit based on nature based solution, but that's a whole different thing altogether. That's not really -- in some ways, that's not part of this $89 million to $94 billion guidance that we gave, which is really revenues based on or EBITDA based on our 13.4 gigawatt portfolio.
Puneet Gulati: Okay. And when you say nature based solution, basically, the FOREX that you may building those will be ultimately contributing to the credits, that kind of stuff?
Sumant Sinha: I mean -- yes, there are two separate things, of course. I mean, the fees and all that we are planting are really from an ESG standpoint, not for profit in a sense. But there are other projects that are emerging that are at very early stages, things that we are just testing out right now. So it's not something that we can really talk about in detail. But should there be some of those, and that's going to be additive to any of these things.
Puneet Gulati: That's fair. So lastly, since you there, what are your thoughts of going out of India and do renewable projects there or are you likely to focus in India only?
Sumant Sinha: That's a very interesting question, Puneet. Look, it's something that we've debated at length. We believe that, as a company, we have some pretty significant strength that can be leveraged in other countries as well. Obviously, access to equipment, access to low-cost execution, mindset, engineering and execution capabilities, all of those are things that we do believe will have value in other geographies from an execution standpoint as well. And in addition, of course, we already have significant scale, given that we are at least globally also ex-China among the 10, 12 largest companies in the world. Having said that, I don't think that we've taken a specific decision at this point that we want to go overseas or not. It is something that I think we will evaluate. And if it makes sense, then, of course, we will come back and discuss it with everybody, and I think about it at some point in the future. But it is not something that is immediately on the cards. Having said that, as you all know, we're also looking at green hydrogen projects. Those are all at very, very early stages I would hasten to add right now. And so in that sense, for some of those kinds of projects, yes, we are looking at development opportunities outside India. But again, I must add that those are in very early stages. And before we make any investments, obviously, a lot of work needs to happen behind those.
Puneet Gulati: Understood. That’s all from my side. Thank you so much and all the best. 
Operator: Our next question comes from Angie Storozynski from Seaport. Please go ahead. 
Angie Storozynski: Thank you. I just wanted to ask a bigger picture question. So given all of the scrutiny surround Adani Green and their financing, I understand that there's very little comparison between your stock and theirs even before the sell out as far as multiples are concerned. But I'm just wondering is there any change to the competitive landscape to questions that you're being asked by future lenders for your renewable power projects, are you -- do you feel like this turmoil surrounding Adani Green is giving you an edge and bidding for some assets and again, any lessons learned from how you can improve your disclosures going forward?
Sumant Sinha: Yes. So Angie, look I think, frankly speaking, as you said in your own question, we are a very different company from Adani in terms of a whole variety of different factors. I would say that in terms of our operating situation, nothing really has changed as such. I think that we were already considered I think a very high quality company in terms of ESG issues and that continues to be the case. It is also reflected in all the ratings that we have got. There haven’t really been any bids that have happened post this whole situation that one can point to and therefore say that this is how the situation might change. But I think what will happen is that there will be an appreciation for high-quality, well-driven companies that are truly following the whole ESG methodology in everything that they do. And so in that sense, I would be hopeful that people will look at us with slightly, what should I say, a high degree of attraction perhaps. But let me leave it at that because I don't know how the -- what impact it might have on the Adani Group in terms of how that situation evolves. It's something that I don't know and I'm not aware of. And it's really too early to be able to comment on whether we've seen them change their behavior in the marketplace and so on. So let me just leave it at that. Kedar, I don't know if there's anything that you'd like to add.
Kedar Upadhye: No, I would just say that since we are listed on U.S., we do follow very extensive 6-K and 20-F disclosures, which are both for financial and operational data and management commentary, pretty extensive in nature. And we will continue to enhance those disclosures. Thanks.
Angie Storozynski: Okay. And then an unrelated question, if I may. So you mentioned that the SECI is granting extensions to CODs for some of the assets. And I don't think I fully understood what you were trying to say. You were suggesting that you actually might bring projects early on to capture merchant's earnings and just use this fact that there could be an allowed delay in official COD or is it about just the fact that the component prices are falling and so the economics of the projects might get improved if you were to delay them?
Sumant Sinha: Actually Angie, it's both. And so each case might be different. Wherever it is allowed for us to postpone, and we feel that in the postponement, we can get lower prices that will allow us to potentially postpone the project and lower the CAPEX and still meet SECI's commissioning requirements. So that is one potential strategy that we could follow. The second potential strategy is that we could potentially commission projects earlier and sell them in the merchant market and then sort of lay them off to SECI based on the SECI commissioning extension that we've got. So the point is that it gives us a lot more flexibility to optimize with the project cost or revenues. And so we fully intend to use the flexibility that we've been given to maximize on the returns of our projects. So it will allow us to increase the returns either by using either one of these two strategies.
Angie Storozynski: And then lastly, in your prepared remarks, you talked about projects that exceeds the minimum return threshold, but you do have a range. So are we talking about projects that are at least 16% in the IRR or…? [Multiple Speakers] 
Sumant Sinha: Yes, yes, yes. That's right. That's what I'm saying that all the projects, therefore, are within our threshold rate. And now that we have this extra little bit of flexibility that just gives us high degree of confidence and comfort of being able to meet those threshold requirements. And of course, for future projects, we continue to be disciplined, as you know, and we will not bid for projects where we feel that we are not likely to make requirements [ph].
Angie Storozynski: Awesome, thank you. 
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.